Operator: Good morning, ladies and gentlemen, and welcome to the Thermo Fisher Scientific 2024 Fourth Quarter Conference call. My name is Ezra, and I will be your coordinator today. [Operator Instructions] I would like to introduce our moderator for the call, Mr. Rafael Tejada, Vice President, Investor Relations. Mr. Tejada, you may begin the call.
Rafael Tejada: Good morning, and thank you for joining us. On the call with me today is Marc Casper, our Chairman, President and Chief Executive Officer; and Stephen Williamson, Senior Vice President and Chief Financial Officer. Please note this call is being webcast live and will be archived on the Investors section of our website, thermofisher.com, under the heading News, Events & Presentations until February 13, 2025. A copy of the press release of our fourth quarter and full year 2024 earnings is available in the Investors section of our website under the heading Financials. So, before we begin, let me briefly cover our Safe Harbor statement. Various remarks that we may make about the company’s future expectations, plans and prospects, constitute forward-looking statements for purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the company’s most recent annual report on Form 10-K and subsequent quarterly report on Form 10-Q, which are on file with the SEC and available in the Investors section of our website under the heading Financials, SEC filings. While we may elect to update forward-looking statements at some point in the future, we specifically disclaim any obligation to do so, even if our estimates change. Therefore, you should not rely on these forward-looking statements as representing our views as of any date subsequent to today. Also, during this call, we will be referring to certain financial measures not prepared in accordance with Generally Accepted Accounting Principles, or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is available in the press release of our fourth quarter and full year 2024 earnings and also in the Investors section of our website under the heading Financials. So, with that, I’ll now turn the call over to Marc.
Marc Casper: Thank you, Raf. Good morning, everyone, and thanks for joining us today for our fourth quarter call. As you saw in our press release, we delivered an excellent finish to 2024 with strong revenue and earnings growth. Our fourth quarter results continue to highlight the strength of our operational and commercial execution. As I reflect on our performance for the full year, I'm very proud of our team as they continue to enable the success of our customers. This resulted in meaningful market share gains and strengthening our trusted partner status with our customers. We are incredibly well positioned for the future. I'll get into more detail later in my remarks, but first, let me recap the financials. Starting with the quarter. Our revenue in Q4 grew 5% year-over-year to $11.4 billion. Our adjusted operating income grew 7% to $2.72 billion. We expanded our adjusted operating margins by 50 basis points to 23.9%. And we delivered strong adjusted EPS performance, growing adjusted EPS 8% to $6.10 per share in the quarter. Then in terms of our full year results, our revenue was $42.9 billion in 2024. Adjusted operating income was $9.71 billion, and adjusted EPS was $21.86 per share. Turning to our performance by end-market. In the fourth quarter, underlying market conditions played out as we expected and continued to improve. Our team's excellent execution resulted in revenue performance that was ahead of our expectations, and we delivered positive revenue growth across all of our end markets. Let me provide you with some additional context. Starting with pharma and biotech, we grew in the mid-single digits in Q4. This marks the fourth quarter in a row of sequential improvement for this customer segment. Performance in the quarter was led by our research and safety market channel, pharma services and bioproduction businesses. For the full year, pharma and biotech declined in the low single digits, which included a mid-single-digit headwind from the runoff of vaccine and therapy related revenue. In academic and government, we grew in the high-single digits during the quarter and in the low-single digits for the full year. In the quarter, we delivered strong growth in chromatography and mass spectrometry and our research and safety market channel. In industrial and applied, we grew in the high-single digits during the quarter and low-single digits for the full year. Growth in the quarter was highlighted by strong performance in our electron microscopy business and in our research and safety market channel. Finally, in diagnostics and healthcare, we grew in the low single-digits during the quarter and declined low-single digits for the full year. As a reminder, the reported growth in this end-market was impacted by the runoff of COVID-19 testing-related revenue. During the quarter and the full year, the team delivered good core revenue growth, highlighted by our transplant diagnostics, immunodiagnostics and our healthcare market channel. Thanks to our proven growth strategy and our team's excellent execution, we delivered a strong finish across all of our end markets, continuing to drive meaningful share gain. As a reminder, our strategy consists of three pillars: high-impact innovation, our trusted partner status with customers and our unparalleled commercial engine. As you know, our growth strategy really resonates with our customers. And throughout the year, we have continuously strengthened our company to be even more relevant for the future. Let me give you some highlights. Starting with the first pillar, we had another really terrific year of high-impact innovation. Throughout 2024, we launched outstanding products across our businesses that strengthen our industry leadership by enabling our customers to advance their important work. In chromatography and mass spectrometry this year, it was highlighted by the launch of our Thermo Scientific Stellar mass spectrometer, which complements our award-winning Thermo Scientific Orbitrap Astral launched in 2023 by validating biomarker candidates of interest to advance clinical research. It's been great to see the significant impact these two mass spectrometers are having on advancing science. We also launched the Thermo Scientific Dionex Inuvion ion chromatography system, which streamlines environmental testing in industrial and applied settings, helping our customers identify contaminants more efficiently. In electron microscopy, we launched the Thermo Scientific Iliad scanning from transmission electron microscope, which integrates a number of advanced analytical technologies into a seamless and user-friendly workflow to enable the development of advanced materials. In our biosciences business, we launched the Applied Biosystems MagMAX sequential DNA, RNA kit, which maximizes the isolation of DNA and RNA from blood cancer samples, helping researchers identify unique insights into cancer-causing genetic alterations. And in bioproduction, we launched the first-of-its-kind bio-based film for our single-use technologies, developed with plant-based material rather than fossil fuel materials, this innovative film provides lower carbon solutions for the production of biologics. We continued this great innovation momentum in the fourth quarter. In chromatography and mass spectrometry, we launched the Thermo Scientific iCAP MX Series ICP-MS, an inductively coupled plasma mass spectrometry platform designed to streamline Trace Elemental analysis for environmental, food, industrial and research laboratories. And in Life Science Solutions, we introduced new additions to the Gibco CTS Detachable Dynabeads platform to further enhance the development and manufacturing of life-changing cell therapies. So another year of innovation that was spectacular, and we have an exciting pipeline for the future as well. In 2024, we also continued to strengthen our industry-leading commercial engine and deepen our trusted partner status with customers to accelerate their innovation and enhance their productivity. Throughout the year, we expanded our capabilities to meet our current -- our customers' current and future needs. This included expanding our pharma services and clinical research capabilities in the US and Europe. To be an even stronger partner for our pharma and biotech customers, in the fourth quarter, we introduced our Accelerator Drug Development solution. This truly unique offering leverages our combined CDMO and CRO capabilities to enable our customers to move their critical drug development programs forward with speed, quality and efficiency, helping to improve their return on their R&D investments. This is a huge value-add for our customers and not something they can do alone or with our competitors. Customer feedback has been incredibly positive. We're winning new business, and we're excited about the future impact of our Accelerated Drug Development capabilities. We also made significant advancements in partnerships and collaborations with our customers throughout the year. This included our partnership with the National Cancer Institute on the myeloMATCH precision medicine umbrella trial, which we announced in July. And then the FDA approval for our Ion Torrent Oncomine Dx Target Test, that's another example of our customer partnerships. This is a next-generation sequencing-based assay to be used as a companion diagnostic for serving as first treatment for patients living with glioma, a type of brain cancer. Finally, during the fourth quarter, we entered into a partnership with the University of Arkansas for Medical Sciences to establish a Thermo Fisher Scientific Center of Excellence for Proteomics there. These partnerships demonstrate how close we are working with our customers to enable their success and drive meaningful impact for patients. So as you can see, it was another excellent year of advancing our growth strategy. As always, our PPI Business System continued to enable outstanding execution throughout the year. PPI engages and empowers all of our colleagues to find a better way every day. PPI is helping us to drive share gain and improve quality, productivity and customer allegiance. We're also benefiting from the application of generative AI into our PPI Business System. Our colleagues around the world are actively deploying Gen AI, finding new ways to improve the customer experience, streamline internal processes and enhance our products and services. So not only do PPI contribute to our excellent financial results, it's also helping our team to find new ways to enable our customer success, ensuring a very bright future for our company. Turning to capital deployment. We continue to successfully execute our disciplined capital deployment strategy to create tremendous value. We do this through a combination of strategic M&A and substantial return of capital to our shareholders. In 2024, we returned $4.6 billion of capital to our shareholders through stock buybacks and dividends, including repurchasing $1 billion of shares in the fourth quarter. In terms of M&A, during the year, we completed our acquisition of Olink, a leading provider of advanced solutions for proteomics research. Olink is now our Proteomic Science business. The integration is progressing smoothly. And just after quarter-end, our Olink technology was selected by the UK Biobank Pharma Proteomics Project to support the world's largest human proteomic study of its kind, the latest validation of the value of our capabilities. When I think about our disciplined approach to M&A and our unparalleled track record, it's all about long-term value creation for our shareholders. We just celebrated the two-year anniversary of the acquisition of the Binding Site, now our Protein Diagnostics business. This business performed incredibly well again in 2024, delivering low teens growth launching new products and driving a great return on investment. This is a recent example of the impact of our proven capital deployment strategy in action. Let me now give you a brief update on our corporate social responsibility initiatives. As a mission-driven company, we help to make the world a better place by enabling the important work of our customers. We also have a positive impact by supporting our communities and being a good steward of our planet, and are proud of the actions we took in 2024 in this regard. We made meaningful progress on our Net Zero road map by reducing our emissions, increasing the number of our Zero Waste Certified sites and launching new greener products and shipping solutions. We also formed new collaborations to improve health outcomes across the globe, and we were named one of the world's most innovative companies by Fast Company for our significant contributions in diagnostics that help to advance health equity. Additionally, we continue to advance our STEM education programs, reaching more than 180,000 students globally. This helps to ensure we have students engaged in the sciences as, ultimately, they'll become our future customers. As I reflect on the year, I'm very proud of what our team accomplished. We have more than 120,000 passionate colleagues who are dedicated to enabling our customer success and advancing science. Together, we continue to build a bright future for our company, and I'm very excited about the year ahead. So let me now turn to guidance. Stephen will outline the assumptions that factor into the guidance, but let me quickly cover the highlights. In 2025, we will once again deliver strong share gain, and our PPI Business System will enable outstanding execution and we will deliver very strong earnings growth. We're initiating a 2025 revenue guidance in the range of $43.5 billion to $44 billion, which assumes 3% to 4% organic growth. And an adjusted EPS guidance range of $23.10 to $23.50, which represents 6% to 8% growth in adjusted earnings per share. We're in a great position as we enter 2025. I'm incredibly excited by the opportunities we have with our customers and to create value for all of our stakeholders and build an even brighter future for our company. So to summarize our key takeaways for 2024. Our proven growth strategy continued to drive significant share gain. We continued to elevate our trusted partner status and deepen the relationships with many customers. And this, in combination with the power of our PPI Business System, enabled us to deliver an excellent finish to 2024 with differentiated performance for the quarter and the full year. As we enter 2025 with strong momentum, we are well positioned to deliver excellent financial performance and further strengthen our long-term competitive position. With that, I'll now hand the call over to our CFO, Stephen Williamson. Stephen?
Stephen Williamson: Thanks, Marc, and good morning, everyone. As you saw in our press release, we had an excellent Q4. The team executed well in the quarter and we delivered Q4 financials significantly ahead of what was assumed in the midpoint of our prior guide. We beat Q4 organic growth by just under 2 points, adjusted EPS by $0.14, and we ended the year with very strong free cash flow, delivering $7.3 billion for the year. Looking back on 2024, we had a very successful year. The markets played out as we outlined at the beginning of the year, with growth steadily improving each quarter. Our proven growth strategy drove consistent share gain and the PPI Business System enabled great execution. All of this enabled us to consistently deliver differentiated financial performance throughout the year, all whilst further strengthening our industry leadership. This puts us in a great position to deliver an excellent 2025. Let me now provide you with some additional details on our Q4 and full year 2024 performance. Starting with earnings per share. In the quarter, adjusted EPS grew 8% to $6.10. For the full year, we delivered adjusted EPS of $21.86. GAAP EPS in the quarter was $4.78 and, for the full year, it was $16.53. On the top line, Q4 reported revenue grew 5% year-over-year. The components of our reported revenue change included 4% organic growth, a 1% contribution from acquisitions and a slight headwind from foreign exchange. In Q4, core organic revenue increased 5%. For the full year 2024, reported organic and core organic revenue were all flat year-over-year. In 2024, we delivered $520 million of pandemic-related revenue comprised of approximately $100 million of testing and $420 million from vaccines and therapies. Turning to our organic revenue performance by geography. In Q4, North America grew mid-single digits, Europe grew low single digits, and Asia Pacific grew high single digits, with China growing mid-single digits. For the full year, North America declined low single digits, Europe was flat year-over-year, and Asia Pacific and China within Asia Pacific grew low single digits. With respect to our operational performance, we delivered $2.72 billion of adjusted operating income in the quarter, an increase of 7% year-over-year, and adjusted operating margin was 23.9%, 50 basis points higher than Q4 last year. In the quarter, we delivered strong productivity, reflecting the continued execution of our cost management initiatives, and we drove good volume pull-through. This enabled us to fund strategic investments to further advance our industry leadership and offset the expected impact of unfavorable mix this quarter. For the full year, we delivered $9.71 billion of adjusted operating income and adjusted operating margin was 22.6%. Total company gross margin in the quarter was 43.2%, 170 basis points higher than Q4 last year. For the full year, adjusted gross margin was 42.2%, an increase of 100 basis points versus 2023. Moving on to the details of the P&L. Adjusted SG&A in the quarter was 16.1% of revenue. For the full year, adjusted SG&A was 16.3% of revenue. Total R&D expense was $374 million in Q4. For the full year, R&D expense was $1.39 billion, up 4% year-over-year, reflecting our ongoing investments in high-impact innovation. R&D as a percent of our manufacturing revenue for the full year was 7.2%. Looking at our results below the line. Our Q4 net interest expense was $89 million, slightly higher than Q4 2023. Net interest expense for the full year was $312 million, a decrease of $183 million year-over-year, driven by effective management of our debt portfolio and our strong cash flow. The adjusted tax rate was 10.9% in Q4 and 10.5% for the full year, in line with our expectations. Average diluted shares were 383 million in Q4, 5 million lower year-over-year, driven by share repurchases net of option dilution. In Q4, we repurchased $1 billion of shares, bringing our total repurchases for 2024 to $4 billion. Turning to free cash flow and the balance sheet. Full year cash flow from operations was $8.7 billion and free cash flow was $7.3 billion, after investing $1.3 billion of net capital expenditures. During 2024, we deployed $7.7 billion of capital, $3.1 billion through M&A with the acquisition of Olink and $4.6 billion through the return of capital to shareholders in the form of $4 billion of buybacks and approximately $600 million of dividends. We ended the quarter with $5.6 billion in cash and short-term investments and $31.3 billion of total debt. Our leverage ratio at the end of the quarter was 2.9 times gross debt to adjusted EBITDA and 2.4 times on a net debt basis. In concluding my comments on our total company performance, adjusted ROIC was 11.6%, reflecting the strong returns on investment that we're generating across the company. Now provide some color on the performance of our four business segments, starting with Life Sciences Solutions. Q4 reported revenue in this segment grew 5% and organic revenue growth was 3%. Growth in this segment was driven by our bioproduction and biosciences businesses. For the full year, reported revenue declined 3% and organic revenue was 4% lower versus 2023. Q4 adjusted operating income for Life Sciences Solutions increased 6%, and adjusted operating margin was 36.6%, up 40 basis points versus the prior year quarter. During Q4, we delivered strong productivity and good volume pull-through, which was partially offset by unfavorable mix and strategic investments. For the full year, adjusted operating income increased 2%, and adjusted operating margin was 36.4%, an increase of 210 basis points versus 2023. In the Analytical Instruments segment, reported revenue grew 7% and organic revenue growth was 8%. The strong growth in the quarter was led by electron microscopy and chromatography and mass spectrometry businesses. For the full year, both reported revenue and organic revenue grew 3%. In this segment, Q4 adjusted operating income increased 13% and adjusted operating margin was 30.5%, up 170 basis points year-over-year. In the quarter, we delivered strong productivity and good volume pull-through and had favorable FX. This was partially offset by unfavorable mix and strategic investments. For the full year, adjusted operating income increased 2% and adjusted operating margin was 26.2%, 10 basis points lower than 2023. Turning to Specialty Diagnostics, in Q4, both reported revenue and organic revenue grew 5%. In Q4, growth in this segment was led by transplant diagnostics and immunodiagnostics businesses as well as our healthcare market channel. For the full year, reported revenue increased 2% and organic revenue growth was 3%. Q4 adjusted operating income for Specialty Diagnostics increased 3% and adjusted operating margin was 23.6%, 30 basis points lower than Q4 2023. During the quarter, we delivered good productivity, which is more than offset by strategic investments. For the full year, adjusted operating income was 3% higher than 2023 and adjusted operating margin was 25.7%, an increase of 20 basis points versus the prior year. And finally, in Laboratory Products and Biopharma Services segment, both reported revenue and organic revenue grew 4% versus the prior year quarter. The runoff of vaccines and therapies revenue had a mid-single-digit impact on the growth in this segment in Q4. This was offset by very good growth in our pharma services business and research and safety market channel. For the full year, reported revenue grew 1% and organic revenue was flat. In this segment, Q4 adjusted operating income increased 3%, and adjusted operating margin was 14%, which is flat to Q4 2023. In the quarter, we delivered strong productivity, which is offset by strategic investments and unfavorable mix. For the full year, adjusted operating income declined 8% and adjusted operating margin was 13.3%, which is 130 basis points lower versus 2023. Turning now to guidance. As Marc outlined, we're initiating a 2025 revenue guidance range of $43.5 billion to $44 billion, and an adjusted EPS guidance range of $23.10 to $23.50. This guidance assumes 3% to 4% organic revenue growth on 1% headwind from the remaining runoff of the pandemic-related revenue and a 1.5% revenue headwind from foreign exchange and approximately 90 basis points of adjusted operating margin expansion. All of this will enable a really strong 6% to 8% growth in adjusted EPS. The strength of the guidance reflects our industry-leading position, our proven growth strategy and the power of our PPI Business System. Let me now provide some more detailed context behind the guide, starting with the market growth framing. In 2024, we estimate the industry market growth was down low single digits. In 2025, we expect the market growth will be better than 2024. We expect market growth will be slightly positive for the year, improving as the year progresses. With this market context and a very strong share gain, we expect organic growth for 2025 to be in the range of 3% to 4%. Now as I commented earlier, this includes a 1% headwind from the remainder of the pandemic runoff, largely in our clinical research business. So the underlying total company growth is strong. Turning to FX. Given recent changes in rates, we're assuming there will be a headwind from revenue from FX in 2025 of approximately $650 million or 1.5 points. Putting all this together, our top line guidance assumes a 1.5% to 2.5% increase in reported revenue dollars and a 3% to 4% increase in organic revenue. This is a strong step-up from 2024. Moving on to the bottom line. We expect to deliver a very strong year of adjusted EPS growth in 2025. The cost actions we took over the past couple of years are enabling very accretive pull-through on the incremental dollars of revenue growth, and we will continue to use the PPI Business System to drive productivity and actively manage our cost base. This will enable very strong adjusted operating margin expansion of approximately 90 basis points. Below the line, we're effectively managing our debt and cash positions and taking advantage of great interest rates from cash deposits. And all of this will enable us to deliver adjusted EPS in the range of $23.10 and $23.50, which is a very strong 6% to 8% growth for the year. In terms of potential changes in the macro environment, our guidance is assumed to cover the impact of modest policy changes. And then to help you with your modeling, here are a few additional assumptions behind the guide. We expect approximately $350 million of net interest expense in 2025. We assume that the adjusted income tax rate will be 11.5% in 2025, largely driven by the increased earnings. We're expecting between $1.4 billion and $1.7 billion of net capital expenditures in 2025. And we're assuming free cash flow is in the range of $7 billion to $7.4 billion for the year. In terms of capital deployment, we're assuming $2 billion of share buybacks, which were already completed in January. And we estimate the full year average diluted share count will be between 378 million and 379 million shares. And we're assuming to return approximately $600 million of capital to shareholders this year through dividends. And finally, I wanted to touch on phasing for Q1. Embedded in the guidance for the year is an assumption that organic growth is flat in Q1, as is adjusted EPS growth in Q1. This is largely driven by Q1 having two less selling days than the prior year quarter and also phasing of our services revenue within the year. So in conclusion, Q4 capped off a very successful 2024. We expect to continue to manage the company and the opportunities really well in 2025 and a focus on delivering very strong share gains and adjusted EPS growth enabling excellent financial performance. I look forward to updating you on our progress as we go through the year. With that, I'll turn the call back over to Raf.
Rafael Tejada: Operator, we're ready for the Q&A portion of the call.
Operator: Thank you very much. We will now open the floor for the Q&A session. [Operator Instructions] Our first question comes from Michael Ryskin with Bank of America. Michael, your line is now open. Please go ahead.
Michael Ryskin: Great. Thanks for taking the question. I want to start with something that you flagged briefly there in your closing remarks, Stephen. I think you mentioned modest policy changes built into the guide. I just -- I'm wondering if you could expand on that and just broadly talk about guidance methodology going into 2025. It feels like there's a lot more uncertainty even despite where we're coming from the last couple of years, specifically as it relates to policy and government changes, things like tariffs, NIH, export controls announced a couple of weeks ago on some specific product lines. It's still really tough and too early to say how these will play out. So I'm just wondering if you -- how much conservatism you built into the guide, just what are your assumptions on some of these factors? Any additional color you could provide there would be helpful.
Marc Casper: So Mike, thanks for the question. Maybe I'll start with a summary actually of kind of the key points, and then I'll talk a little bit about the -- what's going on from a policy perspective, what we embedded in the guide. So bear with me a little bit. So when I think about 2024, I think the key points are the team executed very well, right? And the performance was quite differentiated financially and really great momentum with our customers. Ultimately, the trusted partner status continues to strengthen and positions the company for a bright future. Fourth quarter was strong, right? 4% organic growth, 8% growth in EPS, adjusted EPS. Market conditions, they improved sequentially throughout the year as we expected. We saw positive growth with our expectation for the market in the fourth quarter and which is what we thought at the beginning of last year. So the predictability is back in our industry, which is great. When I think about 2025, what we're assuming in the guidance is that the market conditions will continue to strengthen as the year progresses. And we're entering the year with good momentum, right? So our focus, especially given that there's always some level of uncertainty or volatility, is to really deliver outstanding EPS growth this year, right? And what we embedded in our guidance is 6% to 8% adjusted EPS growth. And our best view of the market returning positive organically in terms of total and us delivering 3% to 4%. So that's how we thought about it, and we're actively managing the business. So we're very excited about what's the year ahead. Now when I think about policy changes, what's embedded, I think you know deeply our philosophy. Within reason of changes or within reasons of opportunities, we just manage through it. It becomes -- it's our job to manage through the unanticipated changes, unless there is such a magnitude, on the good side or the bad, that we would articulate it, right? So we thought about the environment where, today, there's a lot of ideas being discussed but not really yet materialized into any particular policies. What I'm very excited about is the business environment, particularly in the US, is going to be much more business-friendly with much more of a focus on economic growth. I'm excited that the -- from an M&A perspective, we're likely to see a much more reasonable environment from a regulatory perspective. And when I think about what our company does and what our customers do, science and medicine are unbelievably important, and they're not discretionary. And therefore, we're excited about it, and we'll navigate whatever the environment holds.
Michael Ryskin: Okay. That's helpful, Marc. Thank you. And then for a quick follow-up. In terms of the EPS guide, you're right, better earnings power than we had anticipated, I think most had anticipated. Stephen, I think you said 90 basis points operating margin expansion. That's very strong, especially given the subdued top line environment. So if you could expand on that. And you mentioned some of the cost actions you've taken in the past. But are there incremental cost actions throughout 2025? Sort of what's the contribution from return to volume growth or maybe mix shift? Just any color on that 90 basis points. Thanks.
Stephen Williamson: Yes. So Mike, yes, that's the right number. And yes, so really good volume pull-through. So when I think about the cost actions we've taken over the past couple of years as we've kind of wound down from the impact of pandemic, and certain areas of our business have had lower volumes than normal, like they're coming back to more normal volumes and we're making sure that the incremental revenue is pulling through at a really high clip. So great to see that, and that's embedded in the numbers. And then it's not just kind of huge cost initiatives, it's about just managing our P&L appropriately and using the PPI Business System to be able to do that. So driving very strong productivity and good cost management in the top line environment that we're in for the year. So bring that all together, that's what's driving the 90 basis points.
Michael Ryskin: Thanks, Mike.
Stephen Williamson: Thank you so much. Thanks.
Operator: Our next question comes from Rachel Vatnsdal with JPMorgan. Rachel, your line is now open. Please go ahead.
Rachel Vatnsdal: Perfect. Good morning and thank you so much for taking the question. So I wanted to follow up on your answer to Mike's first question around some of the policy changes that we've seen, but specifically to NIH funding. Obviously, we've seen some of the reports the last few weeks around federal funding potentially getting frozen in light of the new administration. So I appreciate that it's early days and we don't know what some of these policies could ultimately look like. But at the same time, you would have to imagine that some of these headlines are driving disruption at your customers. So can you walk us through what have you seen since the new administration turnover in terms of customers' behavior, especially within that academic and government market? And how are you actually expecting NIH funding to play out this year?
Marc Casper: Yes. So Rachel, it's been nine days, so in terms of the environment. So I don't think there's any real insight into what's going on. And obviously, there's actually no policies yet, right? There are different things being explored. And our job is to work collaboratively with the administration, and we have a good working relationship certainly with the President's first administration and educate on the importance of our industry and our customers' work, and help our customers navigate the environment as well. So from my perspective, look at will help our customers navigate whatever it is. When I think about what's embedded in our guidance, I would say for academic and government globally, would be around the company average in terms of what's assumed there, and maybe slightly below that because I think pharma and biotech ultimately will be a little bit better than the company average this year in terms of the end-markets. And when you think about that, about half of our academic and government end-market is in the US and half is in markets around the world. Interestingly enough, we obviously had an incredibly strong finish in academic and government in the fourth quarter. And it was globally strong, right? It was really every market had really a very strong end to the year. So hopefully, that's helpful.
Rachel Vatnsdal: Yes, that is. Thanks for framing that up. To follow up then, I just wanted to ask on Analytical Instrumentation. Obviously, that was a really nice quarter in 4Q. So can you walk us through some of the drivers of that beat? Did you guys see any budget flush trends in the quarter? And was there any benefit from China stimulus in that number? And then when you look at Analytical Instrumentation performance for 2025, what are your assumptions regarding China stimulus contribution? Thank you.
Marc Casper: Yes. So Rachel, thanks. Our instrument business once again had a really very positive year, capped off with 8% organic growth in the fourth quarter, 3% growth for the full year. And that's an environment where China was relatively muted for the full year. And as you know, China is a meaningful contributor to the instruments business across the industry. So the team really doing a great job. So what drives that? It's the steady drumbeat of innovation. That makes a huge difference. And if you think about even in my remarks, I had to really narrow it down, right, in terms of the number of products we launched. And you see on instrument after another, you see many other regions and other products. But we are just on a roll in terms of phenomenal new products, right, whether it's in whether it's in electron microscopy, whether it's in chromatography and mass spectrometry. And also in the environmental type applications with ion chromatography, with ICP-MS. Just really strong and the adoption is great. And that's driving meaningful share gain. And the way that our business works is you have relevant innovation customers because of the importance of the work they're doing, they find the funding, and that's how it showed up. In terms of stimulus in China and how we thought about it, it was actually nice to see revenue. It wasn't huge, but it was nice to see revenue flow in the instruments business in the fourth quarter. Orders were actually stronger in terms of the orders that we received in China on our instruments, and that will obviously ship in 2025. So stimulus started to flow there as well. So hopefully, that gives you a good sense of the momentum in our instruments business.
Operator: Our next question comes from Jack Meehan with Nephron Research. Jack, your line is now open. Please go ahead.
Jack Meehan: Thank you and good morning. So Stephen, you talked about the phasing of…
Stephen Williamson: Good morning.
Jack Meehan: Good morning. I forget if it was Stephen or Marc, you talked about the phasing of services revenue during the year. So I'll bite, what does the guide assume for PPD clinical research? And can you give us an update, just color on what you're seeing in terms of new authorizations?
Stephen Williamson: Yes. So I'll give the kind of the phasing aspect and Marc will give you some more detail about the businesses, so which are both in the great shape, by the way. So when I think about phasing within the year, I said that in Q1, there's some timing in the phasing there. It's largely the pandemic-related runoff is more pronounced in Q1, given comps from last year. So that's the largest piece of the phasing. There's a little bit of phasing quarter-to-quarter in terms of the overall phasing for our pharma services business, but that's kind of a normal noise. But that's probably the largest driver that I talked about in Q1.
Marc Casper: Yes. So Jack, when I think about the clinical research capabilities that we have, we're a leader and incredible reputation for innovation and quality and performance for our customers. And when you think about that, one of the things that we've been talking a little bit about, I'll try to highlight it more today, was the combination with our pharma services business. And as you know, in pharma services, we're a leading provider of contract development and manufacturing capabilities. We spent over three years looking at the added value of having those both sets of capabilities, the insights you get and the impact that you can have for the customers. And when we launched Accelerator Drug Development, it really is compelling. And what that really is allowing our customers to do is to leverage our expertise and capabilities to improve the returns on investment of their R&D investments, which is everything in the pharmaceutical and biotech industry. So we're excited. When I think about more of the details and I think about clinical research, we delivered low single-digit organic growth last year, right? The team did a good job, a really good job. And that was to basically grow the business despite the very meaningful headwind from the runoff of vaccines and therapies that was in that business. And when I think to the future about 2025, the business is behaving the way that I would think it should, which it's a long cycle business. So you saw for the industry, even with us in low single-digit growth last year, that's below the trend line. The trend line for this business is a high single-digit growth business. It's the result of 2023's biotech environment and 2023 and 2024's pharmaceutical customers actually reprioritizing their portfolios for the IRA. When I look at authorizations, particularly in the back half of 2024, they were very strong for us. And when I look at the commercial pipeline that we have this year and the conversations that our executive team is having with our customers the business actually has a lot of momentum underlying. And if I think about sort of the cycle time of the business, that bodes well towards the end of the year and then during 2026. It feels like the conditions will be more measured this year. That's what's embedded in our guidance, kind of similar to what we saw last year, and then it sets up for great success. So overall, super positive.
Jack Meehan: Awesome. And you're leading me exactly where I want to go next, which is the guide for 2026. Mostly joking, but can you just talk about as you look at the phases of the guide in 2025, what does the exit rate look like in the fourth quarter? And just more broadly, just like confidence about your ability to get back to the LRP targets that you have?
Stephen Williamson: Yes, Jack, I'd be thrilled to talk about 2026 on this call, in a year's time. But I understand that you think about that in how you're thinking about the trajectory of the company. Yes, first of all, we're highly confident we're going to get back to the industry long-term market growth rate of 4% to 6%. It's just a matter of what the timing you actually get to that point. And we've proven the ability to consistently drive share gain above that, so our organic growth will be stronger than markets. And it's great the markets are improving. When I think about what the guide setup this year going from market down a couple of points to being up slightly, that's a continued improvement. And the trajectory we expect that, as I said in my prepared remarks, we expect that to continue to increase as we go through the year. The exact ending point of where market growth will be at the end of the year, we'll see that as we get close towards the end of the year. And as Marc said at the beginning, our job in this period is going through that transition back to normal is to drive really strong adjusted EPS growth. And that's exactly what we're setting out to do here for the year ahead.
Jack Meehan: Awesome. Thanks, Stephen.
Stephen Williamson: Thanks, Jack.
Operator: Our next question comes from Doug Schenkel with Wolfe Research. Doug, your line is now open. Please go ahead.
Marc Casper: Doug, you're on mute.
Doug Schenkel: Good morning, guys. Sorry about that. Thanks for taking my questions. A couple of questions on guidance. So the first is on the top line. And I'm just sitting here playing with the model, thinking through the stacks, thinking through the comps, thinking about what you talked about for the first quarter starting rate. That leads me to a question of are you expecting to exit 2025 back in your targeted 7% to 9% organic growth range? I can see where you're at least close to the low end of that. So that's my first question. My second is back to the topic of the 90 basis points of targeted operating margin expansion that is embedded in your guidance. This would be particularly impressive in any period. It's especially notable right now given your revenue growth rate for the year is below your long-term construct. And there has been speculation that you wouldn't be able to get anywhere close to that type of margin expansion with the lower level of growth. So obviously, you expect to do that. So the questions are: one, what's allowing you to do this in 2025? Is this a function of mix? Is it a function of basically the benefit of operating really tightly in a tough environment and starting to come out of it? Is it something else? And then I guess the other part of that is, are there reasons we shouldn't assume a continuation of this type of margin potential as we think about future years where you are getting back into your normalized growth construct? Thank you.
Marc Casper: So thanks for the question. So let me start with context, right? So if I think about the many interactions that I have with investors over many years, but certainly over, let's say, the last six, nine months, a lot of the of the investors have been focused on, and certainly the analyst community as well, what's the momentary change in the trajectory growth rate of the industry, right? And we understand why, because it's an amazing industry with an incredible future and we're in a recovering environment. And one of the things as a management team, as you know, we're very focused on great performance and great execution, is what's going to be most helpful to our shareholders in creating value and creating a bright future. And we're in a recovering market and we're expecting a better year in terms of market environment, better year in organic growth this year. But the thing that we can control is how great is our earnings per share, and that's through the power of our PPI Business System, strong execution, cost discipline. It's not a mix driver or any of those things. As a leadership team, what we're focused on is delivering another very differentiated year and fully focused on the thing that we can control, which is how we drive our revenue down to the bottom line. So it's not the long-term new number, right, but it's the right number for 2025. I think the 40 to 50 basis points of long-term expansion associated with 7% to 9% is an appropriate driver. But this year, that's the way I would think about it. In terms of the 3% to 4%, one thing that we all should just remind ourselves, there's a point of headwind in that number for the final runoff of the pandemic. So our assumption is effectively zero pandemic revenue related this year -- revenue this year. So you can say the normalized growth is getting back to stronger growth, but it's not yet at 7% to 9%, right? You can do the phasing if you're assuming, as Stephen has laid out, a flat start to the year, and we understand that's clearly why. It's not about a market thing, it's kind of the phasing of days and how we see the service revenue specifically laying out. You're going to wind up with something in the strong mid-single digits at the end of the year for us, right? And you can say, well, there's a point of headwind, so you're not quite at the 7% to 9% but you're progressing in a direction that would be encouraging. And we're excited for this year, like this is a big step-up in expectations, and we're going to deliver it versus last year. And the quarter-after-quarter of just better market conditions sets us up for an incredible future.
Operator: Thank you. Our next question comes from Tycho Peterson with Jefferies. Tycho, your line is now open. Please go ahead.
Tycho Peterson: Hey, thanks. Marc, I want to cover a little more on the accelerator program and really just trying to understand why now is the right time. Synergies for PPD have gone well. So any kind of bogey you can point to in the next couple of years in terms of how you're thinking about synergies? Is this more for small or large customers, more on the CDMO side or CRO side? And has this brought to light any additional kind of service offerings that you might need to bring to these customers?
Marc Casper: So Tycho, thanks for the question. One thing that I've learned and is held deeply ingrained with our customer base, is you don't make promises that you don't have a 100% confidence that you are going to be able to deliver. That's what our customers expect of us. So if you remember back to the announcement of the acquisition of PPD, we talked about the potential to bend the time and cost curve of developing medicines. That was a strategy that we articulated. And then you haven't heard us talk about it really at all for the last three years. Not because we weren't working on it, but because we wouldn't declare that opportunity until we had the proof cases in place, customers actually leveraging the combined capabilities of the company and the confidence that we can have great conversations with our customers to continue to deliver great results for them. The authorizations momentum is very strong in terms of how our customers perceive our capabilities and performance. And customers can pick and choose, right? It's not that they have to buy everything, but rather they can pick the relevant the relevant insights from us and expertise to shave the weeks and months off of the time lines, to be more cost effective and leverage our expertise. And the excitement is very substantial. When I think about -- we're seeing interest and excitement and authorizations and orders, orders being on the pharma services language, what we're seeing is it's faster in biotech because you have a decision-maker that sort of has the whole domain, but we're seeing great interest in large pharma as well. And with large pharma, you typically will pick a molecule, a part of their pipeline and work that way. And biotech, it typically will work across everything they're doing. So it's exciting times, and we're just getting going. So as you know, these are long-cycle businesses. So it takes some time to actually translate the authorizations and orders into revenue, but it bodes really well for the acceleration of growth, certainly in 2026 and beyond.
Tycho Peterson: Great. And then follow-up on China. I didn't actually hear what you're assuming for China growth this year. Assuming your products come off the trade restrictions list, I think last time you were able to get them off, and then I know you don't have as much exposure to volume-based procurement, but how you're thinking about exposure there? And obviously, the headwinds have magnified.
Marc Casper: Yes. So in terms of China, when I think about the year, first of all, 2024, and that's a reasonable framing for the next year, we really had a very a very strong year in very, challenged environment, right? The economy is challenging, the end-market is challenged. Our business in the fourth quarter grew mid-single digits. We grew low single digits for the full year, and clearly gaining market share. So the team has done a good job. Our expectation is that the environment is similar to what we saw last year. Stimulus will be a benefit. And they'll be -- just we're not assuming any recovery from an economic perspective. And that may change, that may be a bad assumption, but we don't see any evidence yet of a real strengthening environment other than stimulus. So we just assume that the conditions will continue to be somewhat muted and similar to last year. In terms of healthcare on value-based procurement and some of the reimbursement things that have been executed, your framing is exactly right, which is very small for us. And because our diagnostic business in China is very much in the specialty area, it's not a large business, and while there's a little bit of a headwind, it's fully embedded in our guidance, and it's not a meaningful number. And so that's how we looked at.
Rafael Tejada: Operator, we have time for one more question?
Operator: Yes. Certainly. Our next question is from Puneet Souda with Leerink Partners. Puneet, your line is now open. Please go ahead.
Puneet Souda: Hi, Marc. Thanks for taking my question. I'll wrap my question in one. On the biopharma side and the biotech side, could you elaborate what you're hearing from your larger biopharma large cap customers versus the early emerging biotechs? And another brief question on the therapeutic side. Marc, about 75% of the IND filings to the FDA in 2024 are molecules from China or assets from China, and that number used to be very small in 2023 and practically nothing in 2019. So my question is if more of the drug discovery pivots to China, how do you think Thermo is positioned? What are the implications for Thermo and for the tools industry overall, if you could? Thank you.
Marc Casper: Yes. So Puneet, thanks for the question. So what's -- what I love about January, there's many things I love about January, but is I get to spend an enormous time with our customers, right, both out in the West Coast, where many convene, as well as in Europe. So I've seen quite a number of customers. And if I say what are the themes, if I start with the larger customers, the larger biopharma, really a real change in confidence like really quite positive in terms of how they enter the year feeling like the actions that they've taken over the last couple of years have put their companies in a good spot. Obviously, some companies are benefiting hugely from the GLP-1s and there's great confidence there, obviously, for the impact. And that excites everybody in terms of the ability to have very relevant medicines that can get adopted quickly and help human health. And so actually, it feels to me that large pharma is meaningfully in a better mind space, which will help over time, grow budgets. And when I think about the more of emerging customers, actually, that also was positive, right? And there seems to be a reasonable confidence on funding and partnerships to allow for funding to continue to improve as the year unfolds. And still recovering, but certainly better. In terms of where innovation is, I think, ultimately, what you're seeing as, a few years back, it became really very difficult for a China-based company to serve the global market, you're seeing more licensing deals. There's a huge amount of work that happens in the Western labs after things are licensed. So we're well positioned in China, but we're obviously well positioned globally.
Marc Casper: So thank you for the question. Let me wrap up with just a couple of quick things. First of all, thanks, everyone, for participating in the call today. We entered this year with strong momentum, and we're in a great position to deliver an excellent 2025. As always, thank you for your support of Thermo Fisher Scientific. And we look forward to updating you as the year progresses. Thanks, everyone.
Operator: Thank you very much, everyone, for joining us. We appreciate your participation. You may now disconnect your lines.